Beyers Nel: Good morning, everybody. My name is Beyers Nel, and it is a privilege for me to present my first set of results to you in my capacity as CEO. I'm joined today by our Financial Director, Boipelo Lekubo in presenting the operational and financial results for the half year ended 31 December, 2024. Please take note of our safe harbor statement. Harmony delivered a stellar set of interim results. Our underground recovered grades increased to 6.4 grams per tonne ahead of our full year guidance. Group production was about 25,000 kilograms or 800,000 ounces for the first half also ahead of guidance. Our all-in sustaining cost remains well controlled and on track to beat guidance too. In rand terms, all-in sustaining costs was about ZAR 972,000 a kilogram or just under US$1,690 per ounce. All-in costs for the reporting period, which includes our major capital was just over ZAR 1 million per kilogram, or US$1,810 per ounce. And it's because of our relatively low capital intensity that this is not much higher than the all-in sustaining costs. We generated record interim operating free cash flows of ZAR 10.4 billion, or US$579 million. The operating free cash flow margin has expanded to 29% as a result of our investment in quality ounces, and of course, the high gold price we received. Our headline earnings per share has grown by 33% to ZAR 12.70 per share, or US$0.71 per share and we are delighted to announce a record interim dividend payout of ZAR 1.4 billion for the half year. As South Africa's largest gold producer our goal is to produce safe profitable ounces and improving our margins by delivering on our four strategic pillars. Responsible stewardship is at the heart of our actions and is core to our decisions. Operational excellence inspires us to do better and be better every day. Cash certainty is not only important to our shareholders and stakeholders, but also to us. As such, we manage our costs and focus on improving our efficiencies. For capital allocation to be effective, we take into account human, social, resource and financial capital amongst others. Our decisions are made for the long-term benefit of all our stakeholders. To maximize value, we have grouped our assets into four quadrants, each with its own risk profile and specific role in contributing towards our growth strategy. These quadrants are: firstly, our South African high-grade underground assets, our high-margin, low-risk South African surface and tailings retreatment operations, our international copper-gold portfolio, and our South African underground optimized assets. With our specialized mining skills and unique operating model, we believe we are well positioned to unlock further value in our gold and copper assets going forward. At Harmony, everything begins with safety. We are embedding a proactive safety culture focused on leading indicators, as we continue on our journey to zero harm. Recent events remind us, we must do more, with urgency, with unity, and with unwavering resolve to achieve this objective. We are resolute in our determination to ensure that every Harmonite returns home safely every day. We are intentional about safety and take personal ownership to ensure that our workplaces are safe. The necessary systemic changes have been implemented throughout the company, and we continue to develop safety leadership through our humanistic culture transformation program called Thibakotsi. We're also conducting regular executive visible felt leadership initiatives, to reinforce the importance of safety. Fostering a safe culture, remains an ongoing journey for us. We are encouraged by the long-term improvement in our lost time injury frequency rate to 5.52 and a loss of life injury frequency rate of 0.02 in this half. This reinforces our belief that 0 loss of life is indeed possible. Moving to the operational highlights. Solid mining discipline has resulted in excellent grade control and consistent predictable production. Recovered grades at our South African underground operations increased to 6.4 grams a tonne. This performance has been driven primarily by our high-grade mines in Mponeng and Moab Khotsong. With good momentum and consistent delivery at most of our mines, we are pleased that the total production remains on track to meet the upper end of our full year guidance. Cash operating costs are predominantly rand-based and remain well managed. The majority of our costs comprise labor and electricity in South Africa. And a five-year wage deal was signed with our unions last year, while baseload energy supply from Eskom is regulated. As a result, our cost increases are largely fixed and predictable. Total cash operating costs in rand terms increased by 9% in the first half. This increase was in line with plan and mainly due to annual inflationary increases. The unit cost cash operating cost per kilogram increased by 14% to about ZAR 814,000 a kilogram or about USD 1,400 per ounce, due to inflation, planned lower production at Hidden Valley and lower production at the South African optimized assets. Royalties increased by 46% due to the higher gold prices which have improved revenue and also profitability. All-in sustaining costs remained under control and we are on track to meet full year guidance. This is mainly due to our embedded cost controls, high recovered grades and byproduct credits we received from uranium and silver production. Our all-in sustaining cost for the first half of the financial year was just over ZAR 970,000 a kilogram or about $1,690 per ounce. Our investment in quality ounces has moved us down the global cost curve. So Harmony is a transformed company delivering consistently higher margins. This is a result of disciplined capital allocation and sound cost controls. The Harmony portfolio has changed significantly having derisked and is delivering improved profitability. Our operating free cash flow margins at Hidden Valley have remained exceptional at 50% and this mine contributed 17% towards group operating free cash flow. Margins at the South African high-grade operations increased to 40% with these two operations now contributing half of group free cash flow generation. The South African surface operations continue to perform well with margins doubling to 34% year-on-year. The margins at our South African optimized portfolio remained flat at 11%. These mines continue to make a valuable contribution to our free cash flow and play a vital role in funding our growth aspirations. We at Harmony are on an exciting growth path and have clearly mapped how we will achieve our plans. Maintaining a disciplined and responsible approach to capital allocation is critical in creating long-term value. Not only does this drive growth, but it increases shareholder and stakeholder confidence. We have a balanced capital allocation framework focusing on five core areas to ensure alignment with our values and our goals. We will always prioritize safety as we work towards zero harm. This goes hand-in-hand with productivity enhancements and is in line with our belief that a safe mine is a profitable mine not the other way around. We have built a strong balance sheet which is in a net cash position and our major capital is directed towards derisking our portfolio by investing in our higher-grade surface and international assets, all aimed at increasing the quality of our ounces and improving our margins. This is evident in our expansion projects at Mponeng Moab Khotsong, our South African surface retreatment operations and Eva Copper. Value-accretive M&A is intrinsic to our strategy and we are actively pursuing opportunities to improve the quality of our portfolio further. We are in a position to pay a consistent dividend in line with our dividend policy, ensuring that we reward our shareholders alongside achieving our growth aspirations. Our approach to capital allocation is reaping the necessary rewards and we intend maintaining this disciplined approach. Our aim is to improve the quality and profitability of our portfolio over time, ensuring higher quality reserve conversions with improved free cash flow generation. This production profile illustrates the evolution of our production mix from where we are today to where we are planning to be in the future. As we mine out our optimized assets represented by the red section, the quality of our ounces improves. The introduction of near-term copper through our international projects will drive margins higher over time. These charts illustrate how the production changes -- production mix rather changes and how Harmony will become an even more profitable derisked and diversified company over time. Harmony has taken the strategic and deliberate decision to invest only in gold and copper. These complementary metals offer countercyclical diversification and provide a natural hedge against volatility. The combination offers a strategic balance between safe haven investment in gold and global demand for copper. They also offer synergies in production, particularly in geological proximity and copper-gold porphyries, like Wafi-Golpu. Both these metals have solid fundamentals driving demand and growth, which tie in well with our project pipeline. By focusing on these two metals, we are creating a focused, efficient and more profitable harmony with exciting long-term growth prospects. As we mine out the optimized assets and bring on quality replacement and growth ounces, we expect the contribution from these marginal assets to decrease to around 9% of production over time. In turn, our international gold-copper, the South African surface source operations will represent a far larger portion of production offering a lower-risk asset portfolio. This clearly illustrates how we have reengineered the company. To ensure we achieve this plan, we are allocating the bulk of our major capital towards these projects that will result in margin expansion. For this financial year, we are investing over ZAR2 billion at our high-grade projects, Moab Khotsong and Mponeng. We have over ZAR1 billion earmarked for our high-grade or high-margin surface operation projects, mainly at Mine Waste Solutions. The Hidden Valley mine has been allocated close to ZAR600 million and studies are underway to determine if we can extend the life further by expanding existing tailings storage facilities. This demonstrates our clear intention to improve the quality of our portfolio whilst paying dividends at the same time. The acquisitions of Mponeng, Moab Khotsong and Mine Waste Solutions were transformational for Harmony. This is evident in our overall improved results. We are, therefore, investing in these transformative assets to ensure they continue creating value for years to come. Phase 1 of Kareerand tailings storage facility expansion at Mine Waste Solutions was delivered on time and on budget. Phase 2 is currently underway and we expect to have it completed before the end of calendar year 2025. Mine Waste Solutions' steady-state production is over 100,000 ounces over its life per annum. The projects at Moab Khotsong and Mponeng are progressing well and will extend the lives of these mines to at least 20 years. These projects have added a combined 5.2 million ounces of gold reserves and will ensure steady-state production at Moab Khotsong of over 200,000 ounces and at Mponeng of over 250,000 ounces per year. Both mines will deliver an average recovered grade of about nine grams per tonne. These projects demonstrate our commitment to gold mining in South Africa ensuring that they continue delivering excellent margins at a low all-in sustaining cost for years to come. The feasibility study update at Eva Copper is progressing well. We have completed the technical aspects and are awaiting the final permitting amendments. Eva Copper is now expected to produce between 55,000 and 60,000 tonnes of copper per annum and 14,000 ounces of gold as a byproduct over its 15-year life of mine. Conceptually this translates to a mine of a similar size to some of our high-grade underground assets. The all-in sustaining cost is anticipated to be in the middle of the global industry cost curve and we are targeting first copper in 2029 calendar year subject to the completion of the study and Board approval. At Wafi-Golpu, negotiations of the special mining lease are ongoing. Our comprehensive project pipeline is well-sequenced and manageable. Our timing is deliberate and ensures project capital remains affordable and does not put pressure on the balance sheet or on our capacity to deliver successfully. These projects are catalysts to meaningfully sustain production and expand our margins while driving costs down. We have a clear strategy and a clearly mapped pathway to becoming a global leader in gold and copper mining, producing higher quality ounces and delivering higher shareholder returns. Allow me to hand over to my colleague and Financial Director, Boipelo Lekubo to discuss the financials. Over to you Boipelo.
Boipelo Lekubo: Thank you, Beyers, and good morning to everyone. Please note that we report in rand and select US dollar figures are included in the annexures. Harmony delivered an exceptional financial performance and outstanding earnings growth during this interim reporting period. This was on the back of operational consistency and a higher average gold price received. Group revenue increased by 18% to ZAR37 billion, mainly due to the 23% increase in the rand gold price. Net profit increased by 33% to ZAR7.9 billion, while the rolling 12-month EBITDA increased by 28% to over ZAR22 billion. The strong operating free cash flows we continue to generate resulted in our balance sheet shifting further into a net cash position of ZAR7.3 billion. Headline earnings per share increased by 33% to ZAR12.70. Harmony's investment in quality ounces has resulted in record operating free cash flow generation in this interim period. We've also delivered an impressive threefold expansion in margins since FY 2022. Total operating free cash flow for the group increased by 46% to ZAR10.4 billion or US$579 million in the first half of this financial year, while the gold price has been a significant tailwind, our ability to deliver to plan alongside the transformation of our portfolio has enabled us to deliver yet another strong financial performance. High operating margins have boosted our balance sheet and we're well positioned as we head into the second half of this financial year. This is evidenced in our ability to produce to plan and the average of the higher gold price we received rather. Gold prices have further increased to around ZAR1.7 million a kilogram compared to the average of ZAR1.4 million per kilogram we received during this reporting period. Our planned FY 2025 total capital intensity remains affordable at around ZAR225,000 a kilogram or $415 an ounce. We continue to protect and lock in margins through an effective hedging program. We typically hedge between 10% and 30% of production over 36 months as per our 30, 2010 program limits. So please refer to our hedging table in the annexures for more information on that. Our net cash position has increased significantly to ZAR7.3 billion over the past 30 months. EBITDA growth has been excellent and our 12-month rolling EBITDA is currently at ZAR22 billion. Given our comprehensive project pipeline, which includes the highly anticipated Eva Copper project in Australia, we are strengthening our balance sheet. We have almost ZAR18 billion or US$1 billion in headroom, made up of cash and undrawn facilities. We remain flexible and agile should we need to deploy capital. As it relates to the project that Beyers referred to earlier, we've been able to comfortably fund the various capital demands within the company. As it stands we're able to fund Eva from our own cash flows and available facilities. Our balanced capital allocation framework, solid cash flows and balance sheet strength have once again allowed us to pay a dividend. Our dividend policy ensures we're able to reward our shareholders alongside achieving our growth aspirations. We are pleased to declare a record interim dividend of ZAR2.27 or US$0.12 per share. We continue delivering geared year-on-year dividend increases. Total cash returned to shareholders in the first half of FY 2025 is ZAR1.4 billion while we've returned over ZAR4 billion to shareholders since FY 2021. This demonstrates confidence in our plans and our cash flows. Allow me to hand back to Beyers to conclude. Thank you.
Beyers Nel: Thank you, Boipelo. Harmony has a derisked and diversified asset portfolio offering near-term copper optionality. We are South Africa's largest gold producer and have close to 75 years of specialized gold mining experience in South Africa. We have been operating in Papua New Guinea for over two decades with a presence in Australia over the same time. We delivered a strong first half performance and reiterate our full year guidance. Harmony continues to generate stellar cash flows and our balance sheet is robust, flexible and in a significant net cash position. The gold price has continued to rally, further enhancing our strong financial position. We however remain disciplined and responsible with our capital allocation and we will not deviate from our risk-based approach to decision-making. Having a balanced approach to capital allocation will enable us to deliver on our growth aspirations and ensures we continue to create real, long-term value for our shareholders and our stakeholders. This to us is mining with purpose. Before we take questions, I would like to thank each Harmonite for their dedication and commitment towards ensuring we consistently achieve our goals safely. I would like to thank our Board, shareholders and stakeholders for their continued support. I thank you. Jared, we'll now take questions from the audience.
A - Jared Coetzer: Sure. All right. Arnold, we'll start with you.
Arnold Van Graan: Yes. Good morning, everyone. Arnold Van Graan from Nedbank. Beyers, again congrats on a stellar set of results. And this sort of adds on to the question and where I'm going with it. So you've been part of the Harmony journey and you showed the progress over time, where you've transformed the company and doing very, very well. So my question is what change do you bring to the CEO role, looking at the base, looking at what you have, what do you change? What will change from a strategic perspective and I guess the way the company is run and operated? Thank you.
Beyers Nel: Yes. Thanks, Arnold, tough question. I think the job of any manager, any CEO is to create value for shareholders. So we as a management team have had a breakaway. We've got a scheduled Board bosberaad, where we will map a clear pathway around what we see in the future. I am extremely excited about the future that Harmony holds, given the ore bodies we already own. If you think of Harmony today and Harmony in 10 years from today with the ore bodies we already own, if we bring those ore bodies to fruition and we build those mines as we alluded to Harmony is going to be an even better company in my view than it is today. So yes, Harmony is on a high. I've been part of the journey. We've got a phenomenal management team. I think this team have got a can-do attitude Arnold, and the team has got resilience in the sense that we want to take the company even further from here. I guess it is a question. If it isn’t broken, don't try and fix it. So we will be responsible and balanced in the way that we take our decisions forward. We've seen the value that that brought with re-rating the Harmony stock over the last few years around what we have been doing. But we as managers are not just here to maintain the status quo, we need to make sure we add value to our stakeholders and our shareholders.
Jared Coetzer: Questions? Do we have any questions on the line from Chorus Call perhaps?
Operator: Yes. We have questions on the line. The first question we have is from Adrian Hammond of SBG. Please go ahead.
Adrian Hammond: Thank you, operator and good morning, Beyers. I'd like to ask you about shareholder returns. So your dividend policy is quite clear. But as you ramp-up the CapEx for Eva certainly we'll detract from dividends. But I see within six months' time you should have enough cash to fully fund Eva. So how do you think about returning value to shareholders if your dividend policy isn't really aligned? Thanks.
Beyers Nel: Thanks, Adrian. We see value to shareholders as a combination of dividends and also share price appreciation. And, yes, indeed we are gating Eva Copper through our Board later this year. That is a key catalyst for us in terms of taking stock of where we are with the position we are on the balance sheet. So it's early to comment now. That pathway we have in terms of the Eva project lying ahead I think we just want to get through that and then take it from there. Our operations continue to have good momentum and that will stand us in good stead going forward.
Adrian Hammond: Okay. So perhaps special dividends down the line?
Beyers Nel: It's too early to comment on that. We've got a stated dividend policy Adrian that talk about 20% of net free cash. And we've got Eva Copper coming up and we first want to get that done.
Adrian Hammond: Understood. If I can just follow on then with the profile you gave us. One of your slides certainly talks to a bit of a gap coming through. How should we think about opportunities to fill that gap in terms of M&A? Are you going to pursue assets that are in operation? And we have seen some news flow with Harmony mentioned pursuing certain assets in Australia. So perhaps if you can just give us some understanding of what opportunities you're looking at there? Thanks.
Beyers Nel: Indeed, Adrian. Firstly I mean what we show on the screen is production. That's not necessarily profit or value or earnings. I mean you did notice that the quality of the assets improve as we get into the valley that we've got in the production profile there. So we're under no severe pressure to do anything at any given time. I mean the quality of the ounces that remain as the optimized assets mine out will ensure that there's a healthy contribution in terms of the profitability of the company. We continue to look at M&A. It is something that we keep an active brief on. I mean at the moment gold prices are at record high and it's important that we find value. And if we don't find value we don't do anything. So we intend to keep that disciplined capital allocation. I think we saw how good it was for Harmony in the last few years and that's the approach we want to intend to keep going forward Adrian.
Adrian Hammond: Thanks, Beyers. And, yes, well done again on a very set numbers.
Beyers Nel: Thanks, Adrian.
Jared Coetzer: Any other questions online?
Operator: Yes. We have a question from René Hochreiter of NOAH Capital. Please go ahead.
René Hochreiter: Hello, again Beyers and team. Just following on that value of that dip in production that Adrian was talking about just now. There's two ways of possibly filling it improving the asset quality of your company. How far beyond 6.4 grams a tonne of recovered grades underground, could you push your grades? And secondly would it be at all possible to move Wafi-Golpu forward by about four or five years to fill that gap?
Beyers Nel: Thank you, René. René pushing harder than 6.4 grams a tonne would affect the sustainability of these quality ore bodies. And given our capital allocation decisions on these ore bodies, we are in it for the long-term. We want to create maximum value over the life of mine. And to do that one needs to mine to the average grade of the ore body. And in particular at Mponeng, you don't have that much flexibility. You mine the sequential grid mining method to maintain your mining fronts and keep the seismicity ahead of the faces. So high grading an ore body like Mponeng would have a value destruction in the longer term. So we won't be doing that. We like to mine and optimize the ore body to the average reserve grade. Your second question, apologies, René, could you just repeat that?
René Hochreiter: It's Wafi-Golpu. I know we've been working for it for a long time. But is it in any way possible to push it forward by five years or bring it forward by five years?
Beyers Nel: Yeah, René, we wish we could. I mean, that's a phenomenal ore body. It is in the process of concluding the permitting of that asset. And just briefly for the audience, what you have is from the day that you actually have the permit in your hand, you've got a maximum of 30 months for FID. So that 30 months is then used to update the feasibility study sort out your funding options. And that is the three partners remembering that this is ourselves, Newmont and PNG as a state through Kumul and the landowner participation. So yes the key date is that permit. From the permit the maximum of 30 and then into construction. So yes we're very excited about that asset René. It's a quality Tier 1 copper-gold block cave mine. So the quicker we can bring that to value for our shareholders the better.
René Hochreiter: Thanks very much. Thanks, Beyers.
Jared Coetzer: Any more questions?
Operator: We have no other questions on the conference call.
Unidentified Analyst: Thanks, Beyers. I think mine is more into the structural review of the Executive Committee. And I mean, it's a role that you've previously held of the group COO. And one would check that, because I don't see that on the structure does then suggest that that responsibility then gets delegated to the various units or areas or whatever division. And does it also mean that that was a transitional role so that we can be able to ensure that there's a balance in the organization?
Beyers Nel: Felix, thanks for the question. How we respond to that is structure always follows strategy. So it's important for us as an executive team and a management team to clearly embed what we want to do on the strategy and then find the optimum structure to fulfill that strategy. As to the team, we have got a phenomenal and world-class management team in Harmony. We are proud of who we got. If you look at our photos we are proud of the diversity, we have the gender diversity race diversity as well as diversity of thought and intellect. So this team is a phenomenal team. I mean, the results that this business came up with over the last few years is testimony of not one single person or a CEO or anything like that it's a collective effort from a whole team. We have announced a Deputy CEO, with the CEO announcement. So the Group Chief Operating role for now, I don't necessarily see that we would need something like that. I mean, Floyd Masemula is the Deputy CEO in charge of the South African business. And depending on how the business grows from here, we will reevaluate that. But it's important that one takes structured decisions after you have clearly defined where the business is going.
Jared Coetzer: Are there any more questions online?
Operator: We have a question on the conference call.
Jared Coetzer: Okay. Go ahead.
Operator: Question is from Felicity Robson of Bank of America. Please go ahead.
Felicity Robson: Thank you for taking my question. Grades at Hidden Valley have seen a step down this year compared to last. How can we think of grades for the rest of the year and going into 2026?
Beyers Nel: Thanks Felicity. Yes, as guided, in the previous period, we mined a high-grade part of the ore body called Big Red. We did guide that we will mine through that area and that grades would normalize to the stated grades and the guided grades. So, the grade drop at Hidden Valley was anticipated and guided. So, going forward I mean we've got the guided grade that is out there for Hidden Valley. So, that's a good benchmark to work from Felicity. And then there's obviously also the reserve grade which is also part of the deck and the annexures.
Felicity Robson: Okay. Thank you.
Jared Coetzer: Arnold?
Arnold Van Graan: Yes Beyers a question on Eva. Eva is very important for Harmony. So, executing that on time within budget will be transformative. But it is different, right? It's a different jurisdiction. You're very good miners. You've done a lot of projects in South Africa but I still get a sense this is a different type of mine in a different jurisdiction. So, just give us some comfort around the execution and how you see that and how you see that risk and how you're going to manage that to make sure that in a year from now two years from now we're sitting here, Eva has delivered as planned and that there's no major hiccups. Look it's mining and it's a project. There are those things. But I guess this must be high on your agenda or things that you absolutely have to execute spot on? Thank you.
Beyers Nel: Spot on Arnold. I mean it is a greenfield project in a well not so new jurisdiction. People forget that we've had a presence in Australia for 20 years already and we included in today's presentation from where we support the PNG operations. So, we've got some fantastic human capital sitting idling in Brisbane, supporting one mine in Papua New Guinea. And what one must also maybe keep in mind is a lot of the resources that were involved in the Wafi-Golpu work, I'm talking about a few years ago when there was momentum in terms of the study and the project work has been allocated to the Eva project study work. So, we've got phenomenal human resources in the Brisbane office. These guys are ready to go. I mean they can't wait to build this mine. But you are quite right, I mean we haven't built a big greenfield mine for some time in Harmony. So, it is a different animal. It's a different thing. We are trying to derisk the project as much as we can in the planning side, on the input side, similar to what we did when we overhauled the production process, eight or nine years ago Arnold and to capacitate that properly. So, a lot of work is going in to professionalize our PMO capability our project management office capability. And we as a management team have realized that we've got a little bit of catch-up to play in that space and that work is happening now. So, at the time we get to gate it through the Board, we'll be ready to launch on executing that project. It is a fairly short-term build probably about three years. So, it will be fairly capital-intensive, albeit, we're comfortable that our position we are in can fill the capital, but it's probably a three-year capital spend. Pretty vanilla in the sense that it's an open cast mine with a standard flow sheet plant. So it's not something that's on the leading edge of technology that hasn't been done ever before in the world. So it's a proven flow sheet, proven technology and we're comfortable that with the work we are doing now we could give ourselves a good chance to get that right, Arnold. But yes, it is. I mean, a key KPI of this management team will be executing projects and executing projects well going forward, and particularly Eva Copper is the first one. Wafi-Golpu, the big prize later.
Arnold Van Graan: Thank you. That's it for me.
Jared Coetzer: Beyers I've just got a question which has come through online from Wilhelm Hertzog at Rozendal Partners. I just wanted to ask in terms of the special mining lease for Wafi-Golpu it's been almost two years since the MOU was signed the framework MOU. Just want to touch on what are the remaining sticking points? So what is actually holding up the process?
Beyers Nel: Yes. Thank you for the question. It's been much longer than two years coming. But how one should think about this? If you look at permitting of greenfield projects in many jurisdictions globally today you look at 15 to 18 years. I mean, that is how long it takes to bring a big new mine into production. So, Wafi-Golpu, I wouldn't say is that much different if you look at it relative to that. Yes, it is frustrating. Yes, we would have wanted to be further down the track. What is holding up the process is getting the -- remember the state have got an option to exercise up to 30% equity in the project. And it's about splitting the pie in an equitable manner between the parties the two JV parties and the state. The state's portion being 20% Kumul, the state-owned mining company and 10% the landowners. We are saying it is worth the wait. I mean, it's a phenomenal asset. It is also a mining lease in Papua New Guinea has got 40-year tenure. And in the 40 years PNG has showed that they do not deviate from the conditions as set out in that permit. So it's a 40-year marriage. You can think of it as getting the prenup right in terms of making sure that this relationship between the three parties can bring this mine as good as it could be into fruition for the benefit of not only our shareholders, but obviously our shareholders and all the stakeholders. I mean, I think that mine would bring meaningful economic change to a country like PNG. So, all I would say is aligned. Ourselves and our JV partners are fully aligned in terms of progressing the permitting process and it's just getting through the bureaucracy of actually getting everybody over the line.
Jared Coetzer: Thank you. Do we have any more questions from the audience? Online anything?
Operator: We have no questions on the conference call.
Jared Coetzer: All right. Great. I think we can conclude there. So, thank you very much for all who joined today. It's been a pleasure. And thank you Beyers and Boipelo for presenting today. If you do have any further questions, please reach out to the Harmony Investor Relations team, and we will help you out. Thank you very much. Have a good day.